Operator: Hello, and welcome to the Janus International Group Third Quarter 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I will now like to turn the call over to your host, Ms. Sara Macioch, Senior Director, Investor Relations of Janus. Thank you, and you may begin, Ms. Macioch.
Sara Macioch: Thank you, operator, and thank you all for joining our earnings conference call. I am joined today by our Chief Executive Officer, Ramey Jackson; and our Chief Financial Officer, Anselm Wong. We hope that you have seen our earnings release issued this morning. We have also posted a presentation in support of this call, which can be found in the Investors section of our website at janusIntl.com. Before we begin, I would like to remind you that today's call may include forward-looking statements. Any statements made describing our beliefs, plans, strategies, expectations, projections, and assumptions are forward-looking statements. The company's actual results may differ from those anticipated by such forward-looking statements for a variety of reasons, many of which are beyond our control. Please see our recent filings with the Securities and Exchange Commission, which identify the principal risks and uncertainties that could affect our business, prospects, and future results. We assume no obligation to update publicly any forward-looking statements and any forward-looking statement made by us during this call is based only on information currently available to us and speaks only as of the date when it is made. In addition, we will be discussing or providing certain non-GAAP financial measures today, including adjusted EBITDA, adjusted EBITDA margin, adjusted net income and adjusted EPS. Please see our release and filings for a reconciliation of these non-GAAP measures to their most directly comparable GAAP measure. On today's call, Ramey will provide an overview of our business. Anselm will continue with a discussion of our financial results and 2024 guidance before Ramey shares some closing thoughts and we open up the call for your questions. At this point, I will turn the call over to Ramey.
Ramey Jackson: Thank you, Sara. Good morning, everyone, and thank you for joining us. Janus has built an industry-leading self-storage and commercial solutions business that is resilient and delivers long-term value for our stakeholders. We are proud of all the developments we've made thus far and of the collective efforts of the entire Janus team. As I go through my prepared remarks, I'd like you to focus on some key themes. First, we are experiencing a persistent period of market uncertainty that is causing continued delays with our customers' projects. Second, we are taking proactive cost-cutting measures to better align the company with current market conditions while remaining agile and well positioned to capitalize on market recovery when it occurs. And third, as we look to 2025, we see a number of catalysts that gives us optimism. And finally, our balance sheet remains robust with the strength and reliability of our cash flows. We are well positioned to execute against our capital allocation plans. During the third quarter, deferrals continued as a number of factors impacted demand. Anticipation of multiple rate cuts had developers waiting for better borrowing conditions. While uncertainty around the election has also given our customers pause, we are seeing this primarily with our mid-level non-institutional customers that make up a sizable portion of our base. As we deliver against the existing orders, that slowdown is causing what we expect to be near-term decline in our backlog. Self-storage is of a long-term business and our customers invest in the long-term future of their assets. In order to improve profitability, we have announced our structural cost reduction plan, which includes actions designed to improve margins, simplify and streamline our organizational structure, and enhance flexibility and effective efficiencies. To achieve these goals, we have evaluated our ongoing labor needs, driving savings in our SG&A expense, and rationalizing our real estate holdings. The focus is on rightsizing the organization while maintaining key resources to remain agile when market dynamics shift. Together, we expect these actions to generate approximately $8 million to $12 million of annual pre-tax cost savings. In connection with the plan, we expect to record total estimate one-time pre-tax charges of $2 million to $4 million. As we look ahead into 2025, we are encouraged by a number of factors. We are reassured by the results of our beta testing and customer interest we are seeing in Noke Ion offering, which was rolled out in early October. We expect continued industry consolidation to drive R3 activity and in 2025, we will have a full-year contribution from TMC in our commercial and other sales channel. We are confident in the long-term fundamentals of the business, despite the near-term challenges we face today. Now let me provide some high-level thoughts on our performance in the third quarter. Our financial results in the third quarter included revenue that was down across all three of our sales channels, reflective of general market conditions. Not surprisingly, the decline in revenues weighed on adjusted EBITDA margin performance. The resilience of our business model allowed us to still deliver solid cash flow generation, despite the decrease in revenues. Our balance sheet remains stable with net leverage at the end of the third quarter at 2.0 times, which is within our stated long-term target range of 2 to 3 times. Turning to the performance of our sales channels, which Anselm will expand upon shortly, total self-storage was down 22.4%. Tighter borrowing standards and elevated interest rates continue to cause operators and developers to delay projects until economic conditions get more clarity. Our commercial and other sales channel was down 7.8% for the quarter, relative to the third quarter of last year, reflecting decreased demand for carports and sheds, which was partially offset by the strength in TMC. Now turning to Noke. Our innovative suite of remote access solutions, expected new installs from Noke ONE slowed slightly in the quarter as customers held out for the Noke Ion rollout in early October. As a result, the number of installed units increased to 346,000 from 323,000 at the end of the third quarter, representing a sequential growth of 7.1%. With its unique and flexible customization capabilities and updated pricing structure, we anticipate healthy demand for Noke Ion. Our combination of strong liquidity and continued solid cash generation put us in a position to be active in our capital allocation activities for the quarter. For the third quarter, we repurchased 4.3 million shares for a total cost of $45.5 million as part of our previously announced $100 million share repurchase program. In summary, despite near-term challenges, we remain encouraged by the fundamentals that we expect will drive long-term growth for our company. We are focused on the things we can control, safely and reliably delivering services and solutions for our customers. We are the premium provider for self-storage industry and we will continue to innovate and evolve the business as the market changes. We look forward to expanding our strong market position in creating long-term value for all of our stakeholders in 2024 and beyond. With that, I'll turn the call over to Anselm for a further overview of our results along with updates to our 2024 guidance. Anselm?
Anselm Wong: Thanks, Ramey, and good morning, everyone. As Ramey stated, we are executing against a challenging landscape. In the third quarter, consolidated revenue of $230.1 million was 17.9% lower as compared to the prior year quarter with declines in all three sales channels. As Ramey stated, our self-storage business was down 22.4%. New construction was down 12.6%, while R3 was off 34.4% for the quarter. We saw continued project deferrals in both new construction and R3. While we haven't seen a material increase in project cancellations, we now expect these delays to persist through the end of 2024. The decline in revenue was 90% volume and 10% price. As we've discussed previously, our commercial actions are meant to reflect the premium solutions we offer. The price component of the impact on revenues this quarter reflects our proactive efforts to remain competitive. Our commercial and other segment saw a 7.8% decline in the third quarter, driven by overall market softness and continued weakness in demand for carports and sheds, offset somewhat by contributions from the TMC acquisition. Third quarter adjusted EBITDA of $43.1 million was down 43.4% compared to third quarter of 2023. This resulted in adjusted EBITDA margin of 18.7%, compared to 27.2% in the prior year period. While the decline in EBITDA margin was primarily due to volume decreases, we also had an adjustment to our provision for credit losses in the quarter due to a customer of ours filing for bankruptcy and marketing conditions impacting some customers' ability to make timely payments. For the third quarter, we produced adjusted net income of $15.7 million, a 59.8% year-over-year decline and adjusted diluted earnings per share of $0.11. We generated cash from operating activities of $43 million, continuing to demonstrate the robust cash generation profile of the business. Capital expenditures in the quarter were $3.7 million compared to $3.9 million in the third quarter of 2023. For the third quarter, we generated free cash flow of $39.3 million. On a trailing 12 month basis, this represented a free cash flow conversion of adjusted net income of 134%. We finished the quarter with $226.7 million in total liquidity, including $102.1 million of cash and equivalents on the balance sheet. Our total outstanding long-term debt at quarter end was $586.1 million and net leverage was 2 times. During the quarter, we executed against our $100 million share repurchase program. Year-to-date, we have repurchased 6 million shares for $70.9 million. Now moving to our 2024 guidance. So far in the fourth quarter, we are seeing a continuation of trends that began earlier this year with softness in demand and project delay persisting. We now expect challenges in deferrals and demand to continue for the remainder of 2024. While we had hoped that the interest rate cut in September would have had a more positive immediate impact, anticipation of additional rate cuts before year-end has developers continuing to delay. As such, we have adjusted our full-year 2024 guidance for revenues and adjusted EBITDA as follows. We now expect revenue to be in the range of $910 million to $925 million. We anticipate adjusted EBITDA to be in the range of $195 million to $205 million, which equates to an adjusted EBITDA margin at the midpoint of 21.8% for 2024. While we are adjusting the outlook for 2024 down from our prior guidance, we believe the long-term fundamentals for the self-storage industry are intact and our long-term framework remains in place. As a reminder, that long-term outlook does not factor in impacts on commercial actions. As we mentioned on the second quarter call, in early third quarter, we instituted commercial actions to better align our pricing for new projects with the recent declines in steel pricing that we have seen since the beginning of 2024. We expect to see the impacts from these actions during 2025. As we look into 2025, we expect improving market conditions from a combination of factors that Ramey discussed earlier around R3 demand, Noke Ion and a full-year contribution from TMC and our commercial and other sales channel. We also anticipate that we will have realized some of the benefits of our structural cost reduction plan, which is expected to generate approximately $8 million to $12 million of annual pre-tax cost savings. We expect to record total estimated one-time pre-tax charges of $2 million to $4 million in connection with the plan. One additional note, we expect to file our 10-Q on November 1. Thank you. I will now turn the call over to Ramey for his closing remarks. Ramey.
Ramey Jackson: Thank you, again, Anselm. The hard work we have done and the momentum we have built are allowing us to face near-term challenges while executing against our capital allocation goals. As Anselm mentioned, despite near-term headwinds, our long-term objectives remain intact. The demand drivers for self-storage are life event-driven and those events continue to happen. Occupancy rates remain elevated from historical norms. We have conviction in our model and optimism going into next year and believe that we will be well positioned to capitalize on the market recovery when it occurs. We are the industry leader in self-storage providing full solutions to our customers. With our balance sheet strength, our strong cash flow foundation, we will continue expanding our suite of offerings and capabilities while seeking out and delivering accretive shareholder value-enhancing opportunities. I look forward to continuing to execute on our plan as we work to drive long-term value creation for all of our stakeholders. Thank you again for joining us. Operator, we can now open up the lines for Q&A.
Operator: [Operator Instructions] We'll take our first question from Jeff Hammond with KeyBanc Capital Markets. Please go ahead. Your line is open.
Jeff Hammond: Hi, good morning, guys.
Ramey Jackson: Hi, Jeff. Good morning, Jeff.
Jeff Hammond: Hi. So last quarter, it seemed like you felt pretty good that you scrubbed the backlog and understood the deferrals. And I'm just wondering, what really changed here to warrant kind of the meaningful cut and then maybe just speak to what you're seeing on new order income -- incoming order activity and any cancellations?
Ramey Jackson: Jeff, I think one of the big things that changed is that we did do the scrub and we continue to do the scrub is that a lot of the projects that we had hoped that would release based on the interest rate cut did not release. So we're just seeing the same as what we saw in the prior quarter with stuff not moving. That was a big change from the last kind of look of it when we did the scrub. I think the other thing is, as you guys know, it's public when the Fed kind of provided the rate cut, they also provided two further proposed cuts coming this year. And I don't think that did us help in terms of to our developers now that they at least have visibility to two more in the -- by the end of this year. So I think we got more of the same pushback in terms of -- from a financial point of view.
Jeff Hammond: Okay. Can you just talk about incoming order rates and any cancellations?
Ramey Jackson: Yes. Look, in terms of new orders, it's status quo. It's -- the REITs and the larger operators continue to do business as usual. I think the most impacted kind of customer segment was the non-institutional operator and the mom-and-pops. And that's kind of on the new supply side. The R3, there are some bright spots on the R3 side of it. We are starting to see some momentum kind of in the pipeline and also conversion into backlog that we're optimistic and then also an acceleration on the Noke Ion opportunity and on the tech side of the business.
Jeff Hammond: Okay. And then lastly, decrementals are -- obviously, this has come pretty swift, but decrementals are pretty harsh. Anything else you guys can do to mitigate the decrementals versus some of the restructuring? I noticed SG&A kind of surprisingly ticked up here sequentially despite kind of expectations for lower activity?
Anselm Wong: Yes, we're definitely continuing to look, that's why we gave a range. We're not complete with our phase two of our structural cost adjustments. If you look through when the Q is published at the end of the week, you'll see that there is a bad debt that we had to take as one of our big customers went bankrupt that impacted that line.
Jeff Hammond: How -- what was the magnitude of that?
Anselm Wong: If you look at the Q, the adjusted amount was about $6.5 million that hit the adjusted EBITDA.
Jeff Hammond: Okay. Thanks a lot. Appreciate it.
Ramey Jackson: Thanks, Jeff.
Operator: And we'll take our next question from Reuben Garner with Benchmark. Please go ahead. Your line is open.
Reuben Garner: Thank you. Good morning, guys.
Ramey Jackson: Good morning, Reuben.
Reuben Garner: So I guess, can -- a couple of things on the long-term framework that you're referencing. Can you remind us what that is? And you said it doesn't include commercial actions, can we get some detail on exactly how much those commercial actions are going to reduce price over the next year? And I guess that seems like a structural change. I mean, steel prices are still above where they were pre-2020. So if you're having to reset prices, I'd imagine you don't expect steel to go back up any anytime soon. So does the long-term framework for margins and growth need to be adjusted?
Ramey Jackson: See, I'll make one comment and then you can kind of speak to the modeling. But Reuben, our opinion, I mean, depending on the election, I think one of the candidates is talking about further tariffs. And so it's of our opinion that if that side of the House wins, we'll certainly see steel go the opposite direction. You are right, steel is at a near-time low right now, but certainly not where it was before 2020, so to speak. So that's just our opinion on the steel movement as it relates to what happens with the election.
Anselm Wong: Yes. And Reuben, in terms of the long-term framework, I think we haven't changed the margins 25% to 27%. The reason why we're just pointing it out is that we identified last quarter that we had taken some commercial actions that will impact us in 2025. The guide -- the kind of ballpark we said it would be, in fact we would be at about kind of high-single-digits in the storage part of our business is the impact. We do have the offset from a cost point of view. That's why we're still holding to the long-term framework from a margin point of view. So despite having to give up some of the price on the storage piece, we'll get some offset on the cost side.
Reuben Garner: Okay. That's helpful. And then in terms of the further delays or continued delays, if you will, can you just help us understand how this works? I mean, I can -- I understand it on the R3 side if projects are put on hold, but I thought maybe there would be more visibility into the new construction side of the business given that you guys come later in the cycle. Are those projects being stopped in the middle of a job or does impacts you're seeing now just from projects that didn't start six, nine months ago? Just help us walk through the dynamic there.
Ramey Jackson: Yes, we're seeing both. So there's actually projects that have started and then they just put it on hold in terms of where they're at. And then to your point, there's a lot of projects that were planned to start that have not started. That should have started if you look -- follow the normal schedule.
Reuben Garner: Great. Thanks, guys. Appreciate the color. Good luck.
Ramey Jackson: Thanks.
Anselm Wong: Thanks, Reuben.
Operator: We'll take our next question from Phil Ng with Jefferies. Please go ahead. Your line is open.
Phil Ng: Hi, guys. I think, Anselm, you're still pointing to maintaining your longer-term margins over time. But certainly, if I look at your guidance for the fourth quarter, it implies, I think, mid-teen type EBITDA margins. Appreciating some of these cost out efforts may not kick in into overdrive right away, if demand stays pretty muted like what we're seeing in the back half of this year, is mid-teen EBITDA margins the way to think about 2025 or do you need any kind of demand and pricing to kind of really bounce off of here to get back to like the longer term profile? How should we think about some of these moving pieces?
Anselm Wong: Yes, without providing guidance yet, we are not providing '25 yet. The way we look at it, if you look at the Q4 number, it's extreme low volume. Yes, we're trying to put a realistic number into the Q4 number and that's why you saw the adjustment there. And obviously, the cost action that we announced will have minimal impact in Q4. They'll probably hit majority in '25, and then the other thing is, once we have obviously balance of TMC coming next year, we have some of the Noke Ion that we talked about that's driving that's coming through as well next year. So I think the way we look at it at least early on for right now is that, if volume gets back to a somewhat normalized kind of range that we think it's going to be, we'll get back into the above the teens. And that's why we haven't kind of changed from what we see from a margin point of view.
Anselm Wong: Okay. And are you curtailing production in the fourth quarter because demand is obviously much weaker than you would have thought. Does that have impact on margins in the fourth quarter as well?
Anselm Wong: Yes, that's why you see that margin rate hit in terms of what Q4 is by itself because the volume is down a lot. I think what we tried to do, again, we've been scrubbing the backlog continuously. What we want to do is really just at this point not knowing when these projects are going to come on hold, we said, look, I don't think we're going to have to -- we're going to forecast any release of the stuff that's on hold at this point and just continue the stuff that is coming through and just let that be the assumption at this point. They eventually have to get released. And I think the one thing I'd point to is that our international business, again, when you guys see the Q, we had mentioned that they went through this as well and they finally got to, I would say, flattish to slight growth in Q3. We went through a similar thing like this and that's kind of what we're hoping that these projects start releasing.
Phil Ng: Okay. How are your backlogs looking and how much visibility do you have? I mean, it doesn't sound like you're seeing cancellations, but I guess, are you seeing cancellations? Like what are your backlogs telling you?
Anselm Wong: Yes, we're not seeing cancellations, any meaningful changes there. I think what we're seeing is a small decline in the backlog and that would make sense if you have customers thinking about that they're putting projects on hold, they're not going to put more in the backlog until they start these projects and that's kind of what we were seeing. It's not a meaningful change from what we've seen, but it is slightly lower.
Ramey Jackson: Yes. And the pipeline remains strong.
Phil Ng: Okay. And then when we talk about project delays, I believe it's really largely at the contractor level, not at the end customer level. So contractually that's what you guys have. How much latitude do these customers have in terms of delaying? Is it like three months? Is there a window to like delay it to like a year or there's not much contractual limitations in terms of how long they can delay?
Ramey Jackson: Yes, that's a good question. I think it's on both levels. I think you have kind of the developers waiting for a better macro and then you have the contractors that have the ability to press pause. But there's certainly a shelf life to that. At some point in time, they'll certainly release. I mean, there's already investment made into the asset. And so time will tell. That's why we muted the Q4, but there's no question at some point in time that they'll release out of the backlog.
Phil Ng: Okay. And then just one last one for me. Ramey, I think the weakness you're seeing is largely the mom-and-pop operators and the non-institutional side of things. Are you losing share in that market by any chance? And have you seen heightened price competition just outside of steel prices, right? I mean that I fully get, you're just passing that through, but are you seeing more competition and share movement in this current backdrop?
Ramey Jackson: Yes. I think there are more competitors. I'm not concerned about losing share. I think when you look at our model, we're not just a door manufacturer and I think the market appreciates that there certainly will be opportunistic decisions made on low price, but that's certainly not sustainable in a market like this. You want a supplier that has a strong balance sheet that has a good business model to support the growth. So I'm not necessarily concerned about it. I'm certainly paying attention to it, but I'm not overly concerned about it.
Phil Ng: Okay. Appreciate all the color, guys.
Ramey Jackson: Thanks.
Operator: We'll take our next question from Daniel Moore with CJS Securities. Please go ahead. Your line is open.
Daniel Moore: Yes. Thank you again, Ramey and Anselm for taking questions. Maybe a little bit of a repeat, but just big picture, trying to marry the idea that customers not wanting to delay investment for too long for fear of losing share versus the kind of pullback. So when you speak to those mid-tier self-storage customers, how much of it directly is interest rate and election uncertainty versus any discussion around kind of supply demand balance that may take a little bit longer to work through?
Anselm Wong: It's hard to tell you. We don't have a direct say this reason or not reason. I think we get both from the uncertainty. I think there's just a -- if you ask the customers that we asked, we pulled a lot of them, it's just it's a wait-and-see game right now because the -- at least from an interest rate side, there's already the forecast of two more coming down. And then from the election side is that which party wins and like Ramey alluded to, is there something that from a cost point of view that they have to be worried about in terms of projects if the steel price goes up because of tariff. So I think it's still a mix of both end that we're at least hearing.
Ramey Jackson: Yes, just little more color to it. I would say that the true mom-and-pops are 100% on the sidelines right now from an interest rate perspective and lending requirement perspective. And then there's more of the institutional non-REIT that have capital that are being opportunistic on interest rates. And then like I mentioned earlier, the REITs are just business as usual.
Daniel Moore: Got it. Helpful. Just switching gears, the credit loss in the quarter, is there any incremental or additional built into the Q4 guide? And are there any other customers that are materially behind on payments?
Anselm Wong: Yes. I think when we took the -- had the one customer that went bankrupt, we took a more thorough deep dive of all our customer sets. That's why there is an additional reserve that was put against kind of the other remaining accounts. There's not an incremental assumed in Q4 at this point in time based on what we see. But I think it's just a -- we just want to make sure we appropriately reserve for any risk that we see in there. And I think this was -- unfortunately, the customer went bankrupt was a longtime customer and a very large customer. So that did have a meaningful impact in the quarter.
Daniel Moore: Got it. But nothing additional that's at least…
Ramey Jackson: Yes. Nothing that we see additional at this point.
Daniel Moore: Okay. And then you touched on this in the earlier questions, but you've got the impact from commercial actions coming through next year that you described previously. So are you saying that's going to be a little bit greater or sort of just reiterating that? That's first. And then second, given the revised guidance off of certainly a lower base and the optimism that you're describing for '25, you expect net-net to be flattish, down a bit in terms of top line in '25? I know you don't want to get into the guidance range, but I'm just trying to marry it all together.
Anselm Wong: Yes, the way we think about it, Dan, right now is that we're -- I don't see a change from what we provided in Q2 in terms of the price and commercial actions that we did. So it's still same assumption that we're saying for that piece of it. And I think the other items that Ramey had referred to that are positives for next year still remain in terms of balance of TMC, the Noke Ion trend that's improving and it's been a positive trend that beta has worked out really well and we're seeing good orders coming through there. So our expectation is, we should see some positives from those pieces. The last one is that we're still seeing M&A action within the self-storage industry, which will drive more of the R3 that we're starting to see again.
Daniel Moore: Okay. And last for me, you obviously ranched up -- ramped up share repurchase activity with the further share price weakness this morning. What is your appetite to continue to aggressively buy back stock? And is it a situation where the Board can re-up and you have that flexibility based on what's left in the current authorization? Thanks again.
Anselm Wong: Yes, Dan. Definitely, obviously, we still feel the stock is undervalued, especially even at today's price. So definitely we will be in the market again.
Operator: We'll take our next question from Brad Hewitt with Wolfe Research. Please go ahead. Your line is open.
Brad Hewitt: Hi, good morning, guys. Thanks for taking my questions.
Ramey Jackson: Good morning, Brad.
Anselm Wong: Good morning, Brad.
Brad Hewitt: So curious what you guys are assuming in terms of the phasing of when some of the delayed storage projects come back. And as we think about the Q4 guidance, is there any way you could quantify the magnitude of those delays out of Q3 that you previously expected to come back in Q4 and those are now pushed to '25?
Anselm Wong: So I'd tell you, like if you just did without kind of giving an exact number, Brad, if you looked at the storage piece of it, I would say it's equally among all the stores and the commercial in terms of what we're assuming here right now. We just looked at it and said, hi, look, storage looks like it's just not moving here. So we're just going to keep the same assumption there. And I think commercial, again, we had thought that commercial would have bottomed out and we just said, look, let's just look at it and say that doesn't come back as well and just leave it from same assumption. So I would say, if you look at our readjustment and forecast, it's just really carrying over what we saw in Q3 into Q4 with the exception of the obviously, the holiday weeks and days that are in there.
Anselm Wong: Yes. One more thing, I think when you look at where we are today versus last quarter, the drivers of the headwinds remain the same. There have not really been interest rate cuts. In fact, I believe it's been the opposite. And then we also have this looming election. So the macro from our perspective has not changed whatsoever. That's why we just deferred it to the next quarter.
Brad Hewitt: Okay. That's helpful. And then I guess just following-up on the capital allocation point, it sounds like you're going to expect to be active deploying capital in the near-term. I guess, I'm curious as we fast forward a couple of quarters, I mean, it seems like the denominator, the EBITDA, the net leverage calculation will likely step down a bit. So the net leverage may mathematically step up. So just curious, any thoughts on that and kind of how that could potentially constrain your willingness to deploy capital in the near-term?
Anselm Wong: Yes, we've definitely looked at that, Brad. A great question there. I think we're still going to be well within our 2% to 3% net leverage ratio range that we've guided to despite the pressure on the EBITDA coming down in the past 12 months. But I think, I don't see at least a major constraint at this point in terms of what we need to do.
Brad Hewitt: Great. Thank you.
Ramey Jackson: Thank you.
Operator: We'll take our next question from John Lovallo with UBS. Please go ahead. Your line is open.
Spencer Kaufman: Hi, guys, good morning. This is actually Spencer Kaufman on for John. Thank you for the questions. Maybe the first one, just given the headwind called out from election uncertainty, do you expect a snapback in activity once we have more clarity on the outcome? I mean, are projects being put on hold specifically because of this uncertainty? And what would it take for projects to just be outright canceled as opposed to delayed?
Ramey Jackson: Look, I think our view is not just really necessarily the election, but interest rates matter as well. I think it's a culmination of just the general macro. And so our view is, when I've been in this industry my entire career, I've been through some peaks and valleys in my experience is when the macro, once we get through this lull and the environment gets better, there's tremendous tailwinds in self-storage. And so that's -- we're hopeful for kind of looking at the second half of '25, very close to our customers and listening to kind of taking their pulse, and we just need to get through these uncertain times around the two kind of headwinds that we mentioned.
Spencer Kaufman: Okay. That makes sense. And was there any impact from recent hurricanes or weather in Florida and Southeast either in your third quarter results or in your revised outlook for 2024?
Anselm Wong: Yes. Just very small that we looked at fortunately there. Most of the sites that we're working on or that are active, we're not in those major areas. I think one of the things that is at least positive for us from a business point of view is we're starting to see some orders for replacement doors for some of the other sites that were hit. That we're starting to see as well.
Spencer Kaufman: Okay, got it. Thanks guys.
Operator: And there are no further questions on the line at this time. I will turn the call to Ramey Jackson for any additional or closing remarks.
Ramey Jackson: Okay. Thank you, everyone, for joining us today. We appreciate your support of Janus and look forward to updating you on our progress. Have a great day. Be well.
Operator: This does conclude today's program. Thank you for your participation and you may now disconnect.